Operator: Good day, everyone. Thank you for standing by and welcome to the Xperi First Quarter 2025 Earnings Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the call will be open for questions. I would like to now turn the call over to Sam Levenson from Arbor Advisory Group. Sam, please go ahead.
Sam Levenson: Thank you, Amy. Good afternoon and thank you for joining us as Xperi reports its first quarter 2025 financial results. With me in today's call are Jon Kirchner, Chief Executive Officer; and Robert Andersen, Chief Financial Officer. In addition to today's earnings release, there's an earnings presentation on our Investor Relations website at investor.xperi.com. We encourage you to download the presentation and follow along with today's commentary. Before we begin, I would like to provide a few reminders. First, I would like to note that unless otherwise stated, all comparisons are to the same period in the prior year. Second, today's discussion contains forward-looking statements about our anticipated business and financial performance that are predictions, projections or other statements about future events which are based on management's current expectations and beliefs and therefore subject to risks, uncertainties and changes in circumstances. For more information on the risks and uncertainties that could cause our actual results to differ materially from what we discuss today, please refer to the Risk Factors and MD&A sections in our SEC filings, including our most recent Form 10-K for the year ended December 31, 2024. Please note, the Company does not intend to update or alter these forward-looking statements to reflect events or circumstances arising after this call. Third, we refer to certain non-GAAP financial measures which are detailed in the earnings release and accompanied by reconciliations to their most directly comparable GAAP measures which can be found in the Investor Relations section of our website. Last, a replay of this conference call will be available on our website shortly after the conclusion of this call. I will now turn the call over to Xperi’s CEO, Jon Kirchner.
Jon Kirchner: Thank you, Sam and thank you everyone for joining us on our first quarter 2025 earnings call. Q1 execution was strong as we made measurable progress on our full year growth goals and TiVo OS and related TiVo One platform rollout, video-over-broadband IPTV household subscribers and the proliferation of DTS AutoStage footprint. These efforts put us in a good position to drive meaningful revenue growth through our media platform strategy over the next several years and realize significant increases in profitability and cash flow. Notably, this execution continues despite broad macroeconomic uncertainties that our team continues to navigate well. From a financial standpoint, our results were in line with our expectations for the quarter and represent a good start to the year. Robert will take you through the details in just a moment, but let me first touch on a few highlights. Revenue in the quarter was $114 million, a decrease from last year, primarily due to business divestitures completed during 2024. We continued to reduce our operating expenses due primarily to our focus on cost transformation. As a result, we achieved adjusted EBITDA of $16 million for the quarter, or 14% of revenue, up over 200% when compared to $5 million in the prior year quarter. Looking forward, we remain focused on our three growth solutions where we can see strong potential and differentiation. These are first, connected TV advertising where we offer our TiVo One platform that monetizes ad supported viewing, viewership data and homepage engagement across smart TVs powered by TiVo and TiVo video-over-broadband devices. Second in-cabin entertainment where DTS AutoStage combines radio, Internet, metadata and video to enhance the automotive experience and is designed to enable long-term monetization through licensing fees, upselling features, advertising and data. And third, TiVo video-over-broadband where we offer an industry-leading content first streaming platform for our customers IPTV linear video households as well as broadband only households where revenue is primarily generated by monthly subscriptions. We continue to expect each of these markets, along with our market penetration to grow meaningfully over the next several years. Before we proceed further, I want to give a quick refresher on our TiVo One ad platform which was discussed on our February call. TiVo One is our cross screen ad platform for maximizing engagement and monetization on streaming devices. We are deploying TiVo One on smart TVs powered by TiVo and on TiVo IPTV based video-over-broadband boxes which are connected to smart TVs and thus power the user interface. A primary focus of this platform is delivering unique reach through home screen-based ads which advertising clients recognize as a key, common and frequent touch point in the consumer and entertainment journey as they seek to find, watch and enjoy the content they love. Additionally, we generate advertising revenue from free ad supported television content where video ads are sold primarily programmatically. For our most important near-term business metric, we finished the quarter with 2.5 million monthly active users on the TiVo One ad platform. This includes rollout into the U.S. market through updates to our video-over-broadband device footprint and the launch of Sharp TVs powered by TiVo. We define TiVo One monthly active users as a unique device that is connected to the TiVo video service, which includes the TiVo One advertising platform at least once within the last 30 days. While our TiVo One monthly active user footprint remains weighted in Europe where we ramped smart TVs last year, we’ve started to gain a user footprint in the U.S. market through the deployment of TiVo One to certain video-over-broadband devices including IPTV set top boxes and smart TV shipments with Sharp. Let me now walk you through some of our recent achievements within each market beginning with media platform. During the quarter we successfully began the rollout of a new TiVo One homepage ad unit to certain TVs and video-over-broadband devices where this ad unit takes over the majority of the home screen. We’ve now executed our first media and entertainment pilot advertising campaigns using this ad unit and we’re pleased with the engagement, click through rates and viewership we delivered for our advertisers. In the U.S. Sharp began selling Sharp TVs powered by TiVo through select regional retailers including P.C. Richard & Son and BrandsMartUSA. In Europe, Skyworth under the METZ brand started selling METZ TVs powered by TiVo in the UK. We now have dozens of brands selling across Europe. From a content perspective, we launched more than 80 additional entertainment content partner applications onto the TiVo OS platform. Broadly speaking, streaming services have continued to adopt TiVo OS as an emerging independent media platform and appreciate the value of its agnostic content first discovery features and easy to use technical platform. Notable partners launched in the quarter include global brands such as Tubi, sports network DAZN and Red Bull TV as well as multiple leading local streaming partners including Mediaset Infinity and Movistar. We also publish Sony channels which are curated genre specific ad supported streaming or fast channels comprised of premium content from Sony’s robust catalog of movies and TV programming. To help our partners bring TVs powered by TiVo to market faster, we completed important engineering initiatives designed to expand the diversity of the global supply chain options they have. This will allow for broader and more flexible sourcing in multiple production regions. Moving to connected car. We had a very productive and successful quarter, including the signing of two multi-year HD Radio agreements with Tier 1 manufacturers. Given the general uncertainty in the macro market related to tariffs and consumer confidence, we believe these agreements are valuable to ensure longer-term customer commitment to our technologies and to grow penetration of HD Radio over time. There were 15 models that launched with HD Radio in the quarter including Lincoln Navigator, Honda Passport, Lucid Motors Gravity, Nissan Armada, Toyota 4Runner and Audi Q5. Several new vehicles also launched with DTS AutoStage during the quarter, including BMW iX1 and 2 Series grand coupes, Ford Expedition MAX, Hyundai Palisade and the Tesla Model Y. DTS AutoStage finished the quarter with a footprint of 11 million vehicles in over 130 countries and lastly, previously announced design win Audi has now launched DTS AutoStage video service powered by TiVo in Audi vehicles in Japan. Within the pay TV market, we continued to see strong growth for our IPTV business as we finished the quarter with over 2.75 million video-over-broadband subscriber households, a 36% year-over-year increase. Notably, we signed several new operators in the quarter, bringing the cumulative total of TiVo broadband wins to over 30. During the quarter, we began updating our video-over-broadband footprint in the U.S. to enable enhanced sports features, including personalized league and sports carousels. This code update also includes the TiVo One homepage advertising unit. Importantly, the TiVo video-over-broadband platform controls the user interface of the consumer smart TV where engagement is over four hours of overall content viewership per day. Turning to consumer electronics. We successfully signed several long-term DTS audio renewal agreements, including with customers that include Skyworth, TCL, Hisense, TPV and Best Buy. We also signed important IMAX enhanced renewals with Honor and Philips/TPV, expanded content commitments with Sony Pictures and continued to add new hit titles to the Disney+ lineup to support broader product licensing. In summary, during the quarter we made progress, great progress in our strategic initiatives and remain on track to achieve the 2025 goals outlined in our last investor call. As we work to deliver on these goals, we expect to position ourselves for overall revenue growth in 2026, along with related gains and profitability and cash flow. With that, I’ll turn the call over to Robert to discuss our financials. Robert?
Robert Andersen: Thanks Jon. As usual, I’ll be covering two main areas during this call. I’ll first go through the financial results and provide commentary for the quarter and second, I’ll discuss our financial outlook. Let me begin with the quarter’s results. Total revenue for the first quarter was $114 million, a decrease of 4% from last year’s $119 million and lower by 2% when adjusting for the perceived divestiture. Pay TV, our largest revenue category, posted $50 million in the quarter, a decrease of 12% as strong growth in IPTV, which was up 25%, was more than offset by a decrease in our core Pay TV business, partly due to certain minimum guarantee revenue that occurred last year. Consumer Electronics was $23 million, a decrease of 5% when excluding the divestiture of Perceive. The reduction was primarily due to lower revenue on softer production volume of certain Consumer Electronics products. Connected Car rose 37% to finish at $33 million. The significant growth was primarily due to minimum guarantee licensing arrangements for HD Radio that occurred during the quarter, partially offset by lower automotive volumes due to utilizing HD radio and audio-based solutions. Media platform at $8 million was lower than last year by 30% due primarily to lower middleware revenue associated with a license agreement and audit settlement that occurred last year along with a time shift of certain advertising commitments year-over-year. We expect these commitments to be fulfilled later this year. Moving to the income statement, our non-GAAP adjusted operating expense for the quarter was $76 million, an improvement of $15 million or 17% from the prior year. Approximately 80% of this expense improvement is savings from business optimization efforts and the remaining 20% is from business divestitures. Our adjusted EBITDA was $16 million, resulting in an adjusted EBITDA margin of 14%. Notably, we more than tripled adjusted EBITDA year-over-year and expanded the adjusted EBITDA margin rate by over 900 basis points. Achieving a 14% margin in a seasonally weaker quarter demonstrates significant progress towards our full year goal of 16% to 18% adjusted EBITDA margin. Our non-GAAP earnings per share was $0.16, a $0.21 increase from last year's $0.05 loss per share. Moving to the balance sheet, the company ended the quarter with $88 million of cash and cash equivalents, a decrease from the fourth quarter of 2024 due to $22 million of operating cash usage, $4 million of investing activities and $16 million of financing activities. In late February, we completed the financing arrangement with PNC Bank for a $55 million line of credit. This line is backed by our accounts receivable assets for which we retired $10 million of our prior debt and refinanced the remaining $40 million under the new line of credit. This line has a three-year term and our current borrowing rate is one month SOFR plus 190 basis points. Operating cash in the quarter was a usage of $22 million due primarily to the pay down of accrued liabilities of $15 million, principally for bonus amounts for fiscal year 2024 and from an increase in unbilled contract receivables related to minimum guarantee contract arrangements within the Connected Car category. Notably, operating cash improved by $28 million compared to Q1 of last year. With regard to our financial outlook, despite various macroeconomic uncertainties, we are maintaining our outlook for the year. Thus far, the impact of tariffs on our business appears to be modest and within the range of planning outcomes set for the year. We will continue to monitor if any changes in outlook are warranted as new information becomes available. That concludes our prepared remarks. Let's now open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Hamed Khorsand with BWS. Your line is now open.
Hamed Khorsand: Hi. So starting off with the IPTV and the user base, it's now 2.75 million, but you sound like you also added a lot more service providers. So assuming that you get to 3 million soon, what's the time frame as far as monetizing that and getting to a higher baseline revenue? What will it take?
Jon Kirchner: Well, I think there's kind of a continued quarter-over-quarter effort to assist with deployments and more wins that ultimately will drive subscribership revenue. So, I'm not sure what specifically, Hamed, you're seeking to answer other than, I think you'll see those improvements play out through the year and obviously consequent revenue increases. I think simultaneously some of the video-over-broadband wins at the end of the day are less about subscription revenue as they are about the longer tail of monetization that can happen on the platform. And as we talked about, this is an area where we're starting and have begun to roll out various code updates that will enable us to bring a more robust kind of ad platform on to those set-top boxes and that will in turn begin to yield monetization revenue that comes in parallel with what we're doing on Smart TVs.
Hamed Khorsand: I guess what I'm trying to get to is do you have the manpower and capacity to handle that 50% increase in the number of IPTV customers quarter-on-quarter?
Jon Kirchner: Well, it's not necessarily up 50%. I'm not sure where you got that number.
Hamed Khorsand: Last quarter you guys said it was 20 customers. Now you're saying it's 30 customers.
Robert Andersen: Oh, it’s in the sheer [ph] number of customers.
Jon Kirchner: Oh, that's the sheer numbers. Oh, sorry. Not all those deployments will happen immediately and simultaneously. They all have separate schedules under which they'll roll out. But in short, yes, we're staging and working with those customers to make sure not only we can handle it, but ultimately they come online over time.
Hamed Khorsand: Okay. And then my final question was going to be about cash flow. Is there a specific quarter we would see – would the company have positive cash flow that you're guiding to? Is it all happening in Q4?
Robert Andersen: No, it doesn't – it's not all completely back end weighted. Q1 is seasonally our weakest quarter because we paid deferred liabilities related to last year. So you'll see that pretty much any year for us. Given that we've guided to be positive for the year, I think you can expect the balance of the year to be in the positive category, certainly in the second half.
Hamed Khorsand: Okay. Thank you.
Jon Kirchner: Thank you, Hamed.
Operator: Thank you. [Operator Instructions] The next question comes from Matt Galinko with Maxim Group. Your line is now open.
Matt Galinko: Can you just I'm not sure if I missed it in the prepared remarks, but did you or can you speak to any additional OEMs in the pipeline for TV companies?
Jon Kirchner: We didn't necessarily call it out specifically in the script, but broadly speaking, we expect to add at least one to two TV partners in the course of this year beyond the eight we already have.
Matt Galinko: Got it. And any changes to kind of the number of active users that you're targeting by end of year? Or any just changes to that schedule? And maybe can you – maybe share a little bit more color around whether tariffs have any influence or potential to influence the targets you set for number of active users?
Jon Kirchner: Sure. So we had talked about looking to exit the year with 5 million monthly active users. I think we are very much on track and I think stepping back as we talked about by the time we exit next year, we expect to be at least that 7 million number or better. I think that very much is on track based on all the planning and production activity and the partners that we have. To what extent tariffs will ultimately impact things. Obviously, they create a pretty fluid environment where there's a bit lower visibility and how that ultimately flows through. There's obviously some portion of the TV volume is manufactured in Asia might be subject to tariffs, but depending on how the tariffs come down and where final assembly and other things happen in various markets we may or may not be meaningfully impacted by that. So at this point, I think we are not hearing anything that would indicate that there's anything about that plan that is diverted meaningfully from what we've expected. And we'll continue to stay close to it, obviously, should anything change.
Matt Galinko: Great, thank you.
Jon Kirchner: Thanks, Matt.
Operator: It looks like our next question comes from Jason Kreyer with Craig-Hallum. Your line is now open.
Unidentified Analyst: Great, thank you. This is Cal on for Jason, and apologies if any of this has been addressed, but, I cut the last end there talking about the tariffs, but can you just kind of talk about what kind of macro factors you're contemplating in the guide?
Jon Kirchner: Well, I think we're, at this point, we're maintaining the guide that we previously provided, in part because, while there are, various uncertainties we see out there, it's not yet clear that is going to impact how we think about the range we provided for this year. And so I think, as always, as we said, as we set plans and our guidance ranges, we often and very intentionally, ensure there's a lot of different ways to get within the range. So as we sit here at this point, I think we are comfortable where we are. We'll obviously watch it, very closely as we go ahead, but, we're busy executing even in a world that, has a certain amount of fluidity. And, as I said, I think we've had some very, very strong execution as it relates to Q1.
Unidentified Analyst: Great. And then maybe just kind of pivoting over to the TiVo OS, you talked a little bit about, the new TiVo One, that the homepage unit that you're rolling out here. So just curious, the opportunity that you see there to potentially accelerate your ARPU growth with these more flagship units.
Jon Kirchner: Well, I think there's a couple of things going on. First of all, that homepage ad unit is a very, very valuable piece of real estate, said simply, and it's one that obviously advertisers have a strong interest in. So our ability to roll out that ad unit across our platform of not only smart TVs, but ultimately, as we begin to roll it out across our broader IPTV video-overbroadband footprint, where we know there is a lot of very active viewership, obviously puts us in a position to begin to turn that monetization wheel the better. And I think we've done a lot of work to make sure these updates can successfully roll out and land, on devices, and then as we said, we're doing, we're doing various, pilots to ensure that, all is going well. So I think it will have a positive impact, on what we're doing. I think we've long planned for this to be part of the mix. So it's not something that came out of the blue that we're just adding, but this is part of our strategy of ultimately, trying to over that longer arc, accelerate more and better monetization and offer, more compelling ad products to our advertiser partners.
Unidentified Analyst: Great. And then if I could just, follow-up with one more. Just curious if you have, any sort of incremental updates on the U.S. TiVo OS devices as these rollouts continue to progress?
Jon Kirchner: Obviously still early days, as the Sharp volumes are naturally small. We expect more TVs with an additional partner to hit the market as we go through the balance of this year. And then coupled with that, we have active update programs going on with respect to these settop-box video-overbroadband devices. And so as we think about U.S. footprint, it really is going to be the combination of these two things as we move into the back half and begin to see that scale reach the point where it's of more interest to advertisers and we can begin to drive monetization in an ever kind of increasing fashion.
Unidentified Analyst: Great. Thank you.
Operator: Thank you so much. There are no further questions at this time. So I'd like to turn the call back over to CEO, Jon Kirchnerfor closing remarks.
Jon Kirchner: Thank you, Amy. And thanks everyone for joining today's call. We're pleased with the milestones we continue to achieve to support the long-term revenue growth we expect to generate through media platform, video-overbroadband and Connected Car. I'd like to thank our customers and broad ecosystem of partners for their continued support. I'd also like to thank our employees for their hard work toward realizing our strategic and financial goals. We look forward to reviewing our Q2 results with you in August. And operator this concludes today's call.
Operator: Thank you so much. This concludes today's conference call. You may now disconnect.